Operator: Welcome to the Lannett Company Fiscal 2017 Third Quarter Financial Results Conference Call. My name is Ashley, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now turn the call over to Robert Jaffe, Investor Relations for Lannett. Mr. Jaffe, you may begin.
Robert Jaffe: Thanks, Ashley. Good afternoon, everyone, and thank you for joining us today to discuss Lannett Company's Fiscal 2017 third quarter financial results. On the call today are Arthur Bedrosian, Chief Executive Officer; and Marty Galvan, Chief Financial Officer. This call is being broadcast live at www.lannett.com. A playback will be available for at least three months on Lannett's website. I'd like to make the cautionary statement and remind everyone that all of the information discussed on today's call is covered under the Safe Harbor provisions of the Litigation Reform Act. The company's discussion will include forward-looking information, reflecting management's current forecast of certain aspects of the company's future, and actual results could differ materially from those stated or implied. In addition, during the course of this call, we'll refer to non-GAAP financial measures that are not prepared in accordance with U.S. Generally Accepted Accounting Principles and may be different from non-GAAP financial measures used by other companies. Investors are encouraged to review Lannett's press release announcing its fiscal 2017 third quarter financial results for the company's reasons for including non-GAAP financial measures in its earnings announcement. The reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures is also contained in the company's earnings press release issued earlier today. This afternoon, Arthur will provide a brief overview of the quarter. Then Marty will discuss the financial results in more detail, including the company's updated guidance, followed by Arthur's concluding remarks. We will then open the call for questions. With that said, I will now turn the call over to Arthur Bedrosian. Arthur?
Arthur P. Bedrosian, J.D.: Before I begin, I'd like to acknowledge the passing of William Farber, the former Chairman and CEO of Lannett. Bill was a pharmacist by training and a successful entrepreneur. He served as Lannett's CEO for 15 years from 1991 to 2006, and as its Chairman for 20 years from 1991 to 2011. Bill took over a struggling Lannett and led the effort to turn the company around. He was truly a pioneer in our industry, and a mentor and friend to me personally. Bill had a way with words. My most memorable quote of his was, let's compromise and do it my way. And that, ladies and gentlemen, says it all. On a more positive note, in February, we announced the addition of Kristin Arnold as our Head of Research and Development. Kristin strengthens our senior management team and brings scientific and financial R&D expertise, as well as excellent experience in product development, regulatory submissions, project management and formulations. Kristin has embarked upon a reorganization of the R&D department of Philadelphia, Carmel and Seymour. We are pleased to welcome Kristin to Lannett. Turning to our financial performance, during the fiscal 2017 third quarter, we picked up some new accounts which helped our net sales grow to approximately $166 million from $164 million in the prior-year third quarter. The sales increase was largely due to volume increases. We achieved this top-line growth despite Medicaid's inflation-adjusted rebate program, which reduced net sales in the quarter by approximately $4.5 million. The program began being applied to generic drugs for the first time in calendar 2017. In addition, net sales were lower than our expectation due to competitive pricing pressure across a number of products, product mix and changes within distribution channels. It is worth noting, as some of you already know, that we predicted the pricing headwind currently facing our industry. Over the last several years, we took steps to mitigate the effects of these headwinds. I'll discuss those efforts in more detail later in this call. In January and then again in March, we made two voluntary payments against our outstanding revolving credit facility. The combined payment of $100 million will save us approximately $5.5 million in annualized cash interest expense. As we have stated before, our goal is to continue to reduce our debt levels. With that brief overview, I'll turn the call over to Marty to discuss our financial results in more detail. Marty?
Martin P. Galvan: Thank you, Arthur, and good afternoon, everyone. As was mentioned earlier, I will be referring to non-GAAP financial measures. The reconciliation of the GAAP to non-GAAP numbers can be found in today's press release. Our earnings release also includes a schedule of our net sales by medical indication. I also want to remind everyone that during the third quarter of last year, we recorded a pre-tax, one-time settlement agreement with one of our customers for approximately $24 million. In the current year third quarter, we recorded a $4 million adjustment to this settlement agreement. As a result, our GAAP total net sales were $161.7 million, compared with $140.1 million for the prior-year third quarter. Due to the non-recurring nature of this item, we excluded it from our adjusted results as it does not affect our sales run rate. Now, for the financial results on a non-GAAP adjusted basis. For the fiscal 2017 third quarter, net sales increased to $165.7 million from $163.7 million in last year's third quarter. Gross profit was $85.5 million or 52% of net sales, compared with $97.4 million or 59% of net sales. As Arthur mentioned, our gross margin was impacted by competitive pricing pressure across a number of products, product mix and changes within the distribution channels. R&D expenses decreased to $8.3 million from $16.4 million in the prior-year third quarter. The decrease was due to synergies and the timing of project spend. SG&A expenses were $17.3 million, compared with $15.8 million. Operating income was $59.9 million, compared with $65.2 million for the prior-year third quarter. Interest expense decreased to $22.4 million from $27.0 million. The decrease is a result of our efforts to reduce debt. In the fourth quarter of fiscal 2016, we refinanced all of our 12% senior notes which totaled $250 million with incremental $150 million Term Loan B and retired remaining balance of the notes with cash. And as Arthur mentioned, we made payments totaling $100 million to pay down our fully-drawn revolving credit facility in January and March of this year. Net income attributable to Lannett increased to $29.2 million or $0.77 per diluted share, compared with $27.9 million or $0.75 per diluted share for the fiscal 2016 third quarter. Turning now to our balance sheet. As Arthur mentioned, we paid down approximately $100 million of debt during the quarter. Accordingly, at March 31, 2017, cash, cash equivalents and investment securities totaled $154.6 million. Debt outstanding was $937 million, and we continued to be well within our required debt covenant ratio. With regard to our guidance, we expect the factors that unfavorably impacted our third quarter to continue in the fourth quarter, resulting in slightly lower Q4 sales. We expect our fiscal 2017 fourth quarter profitability on an adjusted basis to be somewhere with our fiscal 2017 third quarter. With that, I will now turn the call back over to Arthur.
Arthur P. Bedrosian, J.D.: Thanks, Marty. Regarding the integration with KU, we continue to make excellent progress consolidating our manufacturing, sales, research and development, and distribution functions. All packaging activities in Philadelphia have now been transferred to our Seymour, Indiana plant. With respect to manufacturing, six of our high-volume products have been transferred from Philadelphia and are now being produced at the Seymour plant. Transfer activities are ongoing for an additional six products, four of which are in advanced stages of being moved in the current quarter. We anticipate that by calendar year-end, approximately 50% of the production previously performed in Philadelphia will be moved to our Indiana plant. With regard to our pipeline, we currently have pending at the FDA 26 ANDAs, including 11 with a Paragraph IV certification. With one of our Paragraph IV products, Zomig, we are in the process of preparing our appeal which we expect to file later this month. We are optimistic that we will receive several additional FDA approvals before the end of our current fiscal year. In addition to our own filings, we have another 11 applications at the FDA through our alliance partners. We're on track to file our new drug application for C-Topical over the summer. We anticipate an approval could come within one year, following the PDUFA submission of our application. With an approval, we will be able to market the product more aggressively with FDA-approved claims. A brief update on our strategic alliance with HEC. I recently returned from a trip to China to meet with HEC's leadership team. Our relationship continues to get stronger and we are now making excellent progress on a number of fronts, including the distribution of up to 20 of our products in China by HEC. We have already submitted two quotations. In addition, our joint effort to develop generic insulin is advancing. We've received FDA comments to our pre-investigational new drug application for the product and we are working together to develop the best plan for filing the application. As I mentioned earlier, we anticipated the current competitive pricing pressure in our industry, and took steps to prepare for and grow our business under these conditions. These steps included, among others, the addition of C-Topical, our first branded drug product using our patented technology which allows us to expand our offering with a proprietary product, and the forming and developing of our multi-dimensional strategic business alliance with HEC. Our efforts also included the acquisitions of Kremers Urban and Silarx, which not only added a wide array of new capabilities, but also diversified our offerings with added products, and the planned expansion of Cody Labs, which will allow us to more efficiently grow our pain management business, both APIs and finished dosages. As you have just heard, we have been working to grow our generic drug business and expanded the branded drug business. We are confident that we will execute on our strategic plan and our investments and efforts will pay dividends. Before we open the call to questions, I'd like to mention that Lannett has been recognized as a CIO 100 award winner for 2017. I would like to congratulate our information technology team for winning this prestigious award and thank them for their efforts. With that overview, we would now like to address any questions you may have. Ashley?
Operator: Thank you. We will now begin the question-and-answer session. And from BMO Capital Markets, we have Gary Nachman.
Gary Nachman: Hi. Good afternoon, guys. Could you give more specifics on what fiscal 4Q will look like in terms of sales and gross margin, not just profitability? And how much of the pressure can you offset with cost reductions? And then I have a couple of follow-ups.
Arthur P. Bedrosian, J.D.: Well, as Marty said, we're looking at the fourth quarter being similar to our third quarter; maybe slightly weaker. As you know, there's a lot of pressure on pricing right now. So, as far as we can tell, we think it'll probably be somewhat similar to the third quarter. But there's no way to predict that right now. So I'd rather be conservative and not make a prediction. But our feeling is it'll be very similar to the third quarter.
Gary Nachman: Okay. Maybe just a little bit more on the gross margin. So 52% was obviously a lot lower than we expected. So is it going to stay at that level? Could it come down a little bit more? And then just sort of comment on your expectation for that maybe going into next year, given all the pricing pressure and delays to the pipeline.
Martin P. Galvan: Yes. Gary, I'll take that one. Our expectation is that the fourth quarter gross margin could tick up a bit from the third quarter. In addition to the pricing pressures and other environmental topics we discussed, we did have some manufacturing variances of a one-off nature, and we do not expect those to repeat. So we expect that you'll see some limited uptick in gross margin. But the factor is the holistic or macro factors that we spoke about, those we do expect to continue, as we said in our press release and earnings and our prepared remarks for the earnings call here.
Gary Nachman: Okay. And then maybe just at a high level. I asked before about the cost reductions. Just how much flexibility do you have to manage through some of the pressures? And then, specifically in R&D expense, as that comes in a little bit lower, what do you think the longer-term impact is of scaling back on the R&D expense? Is that something you have to consider how it's going to impact the pipeline? Thanks.
Martin P. Galvan: Well, first of all, let me start with an answer here and I think Arthur will add to that. As far as the numbers go, the R&D expense is low for the quarter. It's a bit more unusually low, let's say, for the quarter. We do expect that to tick up on a run rate basis going forward. In our own projections, we see R&D expense somewhere in the range of $10 million to $11 million a quarter, something like that. And then, as Kristin Arnold gets her feet on the ground here and gets better into – or has more time in position, I think we'll see our spending increase because obviously the pipeline is critical to us. Arthur, do you want to...
Arthur P. Bedrosian, J.D.: No, we're not trying to reduce R&D for any reason other than the economies. Looking at consolidating the three sites, that was ongoing, but we didn't have a leader in that department, as you know. So our efforts to consolidate R&D and set it up so that it's operating out of Philadelphia really wasn't, let's say, robust. With Kristin on board, the first thing she's doing is consolidating the sites and setting her sights on what products we're going to be going after. Some of the other delays in product spend for the R&D also equate to the lower spend. Sometimes you plan for bio-study, and if you don't get it done in the quarter, you don't have an obligation, but you get it in the next quarter. So it's not like we've reduced R&D for any purpose other than just timing.
Gary Nachman: Okay. All right. Thank you.
Arthur P. Bedrosian, J.D.: You're welcome.
Operator: Thank you. And our next question comes from Gregg Gilbert.
Gregg Gilbert: Thanks. I have a few. Maybe first for Marty. Can you walk us through this Medicaid rebate situation, and what about that, if anything, was surprising to Lannett? I believe the rules were laid out quite some time ago there.
Martin P. Galvan: Yeah. Gregg, it was not a surprise to us. I think what we were saying is that our sales nonetheless were impacted by it. The law was something we were very aware of and, again, was not a surprise.
Gregg Gilbert: Okay. And as it relates to the two other issues brought up, changes in distribution channel as well as increased pricing pressure, certainly recognize that the business is always price-competitive. But can you highlight anything that changed, let's say, in this quarter versus three to six months ago on those two issues, the pricing pressure and change in distribution channel?
Arthur P. Bedrosian, J.D.: Well, as you know, there's been these alliances or consortiums. And consortium depends on how anybody pronounces that expression. And the latest one, of course, was one of the wholesalers in one of the chain stores referred to the customer at (18:59) Walmart. That company – that group purchasing, Claris One, (19:03) wasn't available previously, and it just evolved recently in terms of – actually, it's still an ongoing process, but they're just formulating and putting out requests for quotes now. So, that was the newest entry. The others were already doing things like that. So those we were familiar with. And that's the one we're really referring to.
Gregg Gilbert: Does that feed into the distribution channel comment as well? Or is that a (19:28)
Arthur P. Bedrosian, J.D.: Yes, it does. Yes, it does.
Gregg Gilbert: Okay.
Arthur P. Bedrosian, J.D.: Because you're selling directly to the customers, you're not selling through in this case the wholesaler to the customer. Previously, we would sell directly to the customer.
Gregg Gilbert: Okay. And then one more sort of big picture strategic question, Arthur. There's always been consolidation in the small-, mid-cap generic space, but it seems that the dominoes are beginning to fall a bit faster with Akorn and Upsher and STADA. Any comments from your point of view and whether that affects your thinking at all about Lannett's place in the world? Thanks.
Arthur P. Bedrosian, J.D.: No. But, as my Chairman said, we're a public company, which means the company is always available for anybody who wants to make an offer to buy it. So there's nothing untoward there, except they're running out of things to buy, you might say. So we've been looking to be the last holdout, and we got the best offer or not, that depends on the people in the marketplace. We're not doing anything to dissuade anybody from making any offers, and we know that there is a lot of consolidation. And quite frankly, we expect it. That's not something we don't think is going to happen. But it's just a matter of we're waiting our turn.
Gregg Gilbert: Okay. Thanks. I'll get back in line.
Arthur P. Bedrosian, J.D.: Okay.
Operator: Thank you. And our next question comes from Elliot Wilbur.
Elliot Wilbur: Hey. Good afternoon. Art, we may not always be thrilled with your quarterly results, but we're always thrilled with your choice in classic rock music. So my questions is, first on the top line obviously, performance, relatively close to external expectations, both in terms of the aggregate number and individual product categories, but obviously there's some pressure under the surface. Could you maybe just talk about the top two or three product categories where you had negative price variance that was quite a bit different than what you had been anticipating? And as a follow-up to that, I guess we've heard commentary from a couple of companies we've met the last couple of days now regarding the Claris One (21:40) consortium. Suggestion from some others is that pricing pressure tied to that really seemed to kind of gather momentum in March and that's really picked up in April. I'm just wondering if that is consistent with what you experienced in the quarter and what you're currently seeing?
Arthur P. Bedrosian, J.D.: Well, I wouldn't say that we're certainly feeling pricing pressure. I mean, every customer is looking for a lower price, which surprises me because if they buy it for less money, they're going to resell it at a lesser profit. So it just punishes the customer when they purchase at those prices. We certainly aren't immune to pricing pressure because everybody wants to re-price, get the product at a lower price, because somehow they think they'll make more money. Trouble is then they sell it based on their new cost, so it's just a spiral going down. We've been less subjected to it, you might say, than most of the competitors we've been listening to out there. But it's not we're immune to it. We are in the generic drug space and clearly there's a focus on price. It's always been a price business and we have to stay competitive. But we really haven't seen a severe impact to any one particular product.
Elliot Wilbur: Okay. And if I could get your latest update and current thoughts around Methylphenidate? Just latest interaction there with FDA and whether or not you've had a chance to fully vet all the data that the agency put together regarding this decision to initially go with the BX rating and then, obviously, followed up with a notice of withdrawal, and just kind of what the latest is around that particular product asset?
Arthur P. Bedrosian, J.D.: All right. Well, the way it's working is, first of all, we've owned this company now a little over 15 months. What's this? Today's May. So we're five, six – and that's about exactly 18 months now. And quite frankly, we haven't received any complaints with regard to that particular issue. Now that we've owned the company and we're getting the complaints directly, we haven't seen one complaint. We know the FDA's claim that 29% of the complaints they received was on Kremers' product. So our first question has to do with, well, where are the complaints you claim you received because we want to see them. And that was part of what we asked for under the Freedom of Information Act. We're trying to get hold of the negative that they used to decide that the product was not AB-rated. And that's the meeting we're awaiting. And they've asked us to accept that the language we agreed to, to allow them time to get that information collected together and submitted to us. Once we get that information, we'll then be able to request a meeting date. So, right now, we're questioning the fundamental reason for removing the AB rating from our product. And quite honestly, I think we have a very strong argument with regards to our position there. So, that's what we're hoping. In the meantime, we continue to sell the product. I believe we've picked up some new customers on it. So it continues to be a BX-rated product and is less expensive than the offline generic that's out there on the AB-rated from another competitor. And as a result, people continue to use this product as well as the other BX-rated product on the market.
Elliot Wilbur: Okay. Thanks. And just one last question. I may have missed this in your first initial comments, but just any update on the current ANDA pipeline? Specifically thinking about sort of the cadence of approval activity obviously in the last quarter of the fiscal year, but maybe over the balance of the calendar year as well. I know you've been I'd say optimistic and we've been hopeful that one or two significant products could be approved here relatively short-term. So I'm just wondering what the latest status update on those is. Thanks.
Arthur P. Bedrosian, J.D.: Unfortunately, we're in the same boat as you, waiting and waiting and waiting. And when we say any day now, we literally mean any day we expect to get some approvals. That's what we talked about again in the earnings call. We expect a number of approvals before our June 30 fiscal year, and I know today is May 2, which gives us all of a sudden leap certainly (26:07), but we do expect some products to come through. The problem will be, of course, at this point they'll come through, they will be too late for this fiscal year, but they'll certainly be available to us in the fiscal year beginning July 1. So we just have to be patient as we always are with the FDA and await the approvals. But there's no reason for us to change what we're expecting. We are expecting those products to be approved and any day now.
Elliot Wilbur: Thank you.
Arthur P. Bedrosian, J.D.: Okay. Thank you, Elliot.
Operator: Thank you. And our next question comes from Derek Archila.
Marcus Ho: Hi. This is Marcus on for Derek. Thanks for taking the questions. Just a quick question for me. It looks like levothyroxine, urology, is a little softer than expected. Any kind of color you can provide around that? And I know you talked about pricing pressure, competition, but anything else that you can maybe elaborate on would be great. Thanks.
Martin P. Galvan: Marcus, on levothyroxine, it's essentially the macro factors that we've been talking about. There's nothing in specifics that we want to go into at this point in time. And, I'm sorry, the second category you asked about?
Arthur P. Bedrosian, J.D.: Yeah. I wasn't sure which category you mentioned, Derek – or Marcus.
Marcus Ho: Urology.
Arthur P. Bedrosian, J.D.: Urology?
Marcus Ho: Yeah.
Arthur P. Bedrosian, J.D.: That one we've talked about previously, the oxybutynin, that one has dropped off previous quarters, nothing this past quarter I think. There's been no difference this quarter over previous quarters, let's put it that way.
Martin P. Galvan: We had a competitor going to the space, I think, six months ago or so, right? So, yes. So this particular category is more of a competitive situation that had been in place and wasn't unusual in this quarter.
Marcus Ho: Okay. Thank you.
Arthur P. Bedrosian, J.D.: Okay.
Martin P. Galvan: Thank you.
Operator: Thank you. And our next question comes from Andrew Finkelstein.
Andrew Finkelstein: Hi. Good evening, and thanks for taking the question. I was hoping you could talk a bit more about some of the customer contracts you picked up and whether that may continue to translate into volume. We've seen increases for a select product going forward, but are there opportunities to broaden the base of products you have under contract with these customers? And then, if you could talk a little bit about, as you continue to transfer products to Seymour, is there room for additional margin improvement there to offset price pressure. Thanks.
Arthur P. Bedrosian, J.D.: Well, I'll take the first question, let Marty handle the second one. Yeah, we do expect – as we said, our revenue in our units have grown, so our sales volume is picking up. What you're seeing is the price reduction, when you give a customer lower price, impacting sales. So sales are down on a price basis, but they're not down on a unit basis. So we have picked up additional business. The unit sales for most of our products have been up, at least overall, and we expect that trend to continue, especially as we get new products, we now have more customers to sell those new products to. But with the pricing pressure, which is somewhat mild as compared to our competitors and as far as we're concerned, we don't see it impacting us that dramatically unless we actually lose an item as opposed to having to meet a lower price. We're more concerned about, I'd say, losing a product to a competitor outright than matching a lower price, which is generally what we have to do. So I don't see anything except potential more sales, increased sales, with a larger customer base. As far as the move to Seymour, I'll let Marty handle the margin.
Martin P. Galvan: Yes. As far as the move has gone, Andrew, the synergy program that we announced over a year ago, we talked about significant savings, we talked about $50 million of synergy savings in fiscal 2018 and that number grows by 2020. Just to put it in perspective, the $50 million in 2018, roughly half of that number we projected that we would see that in the course of its outline, basically, with the efficiencies achieved from consolidating manufacturing in Seymour. In addition, that synergy savings grows, actually, when we get to fiscal 2020 because the moving of manufacturing to Seymour, we always had that program in place now since the acquisition. It's a three-year program, so it's going to take time. And to answer your question, yes, we'd have to see, like I said, half of the synergy that we've been projecting manifest themselves on the course of this outline. So, that will help us.
Andrew Finkelstein: Great. And if I could slip in a follow-up with fluphenazine. Any changes in the competitive dynamics there, or anticipating any changes in supply from competitors?
Arthur P. Bedrosian, J.D.: No. We're not expecting anything, but I can't tell you what the competitors are going to do till they do it. But as we speak today, there's been no changes there. Clearly, most of the products, as I said, that we really have had (31:46) any major impact on them in a negative way. It's really, more generally pricing, people asking for re-quotes, the competitive environment. And this is my 49th year in generic drugs, Andrew, so this is like the same old thing. We're talking about déjà vu. I can sell cheaper than you. That seems to be the theme. And it's not something we didn't anticipate two years ago, quite frankly. So I think my goal – I'm not going to be able to stop that spiraling environment, because there's too many competitors out there. But I certainly could make sure I could survive it, with a planned source in topical, the work we're doing with China, the exporting of 20 of my products there. I mean, that's a huge opportunity for us. So those were the kind of things we needed to do. We don't do any exporting, as you know, currently. So those opportunities sure offset the decline that we might see in the competitive marketplace we have in the U.S.
Andrew Finkelstein: All right. Thanks very much.
Arthur P. Bedrosian, J.D.: Okay. Thank you.
Martin P. Galvan: Thank you.
Operator: Thank you. And next we have a question from Matt Hewitt.
Charles Haff: Hi. This is Charlie on for Matt. Thanks for taking my questions.
Arthur P. Bedrosian, J.D.: Hi, Charlie.
Charles Haff: I really just had one. A lot of them have been asked. Now that the debt's been paid down, you paid down $100 million this quarter, does that remain the priority, paying down debt? Or is M&A a possibility?
Arthur P. Bedrosian, J.D.: No, no M&A. We're paying down debt first which should help us, so we're likely to concentrate on that. So all I would say is stay tuned. We do intend to continue to pay down debt.
Charles Haff: Okay. Thank you.
Arthur P. Bedrosian, J.D.: All right. Thanks.
Operator: Thank you. And our next question comes from Scott Henry.
Scott Robert Henry: Thank you, and good afternoon. Arthur, perhaps just a bit of a macro question. I guess your fiscal Q3 calendar first quarter was certainly a tougher pricing environment, and it sounds like next quarter is going to continue to get tougher. The question, and it's kind of two-part, is; one, do you think this environment starts to stabilize for your fiscal year 2018, or should we expect this continued sort of pricing erosion? And then the second part of that question is do you think you can offset enough of this with new products and new markets, such that you can grow the revenue base in 2018, which is certainly no small accomplishment in this environment?
Arthur P. Bedrosian, J.D.: Well, that's true. But, optimistically, we have a lot of opportunities where – we certainly have some opportunities in the small M&A world where we purchased some products that we'll be launching next year. So we know for sure we're going to have some additional revenue. We know at least – well, some of the products we already have approved by FDA that, remember, were approved at our Philadelphia plant that we were closing had to be moved to Seymour. So those launches got delayed. So, between the launches, the new products, the products we expect to get approved, 2018, while I don't want to be an optimist because there's certainly the pricing pressure, in terms of units and volume we do see some growth there. I can't speak to what the prices will be on each one of these items because, of course, that determines where you end up. But I do feel optimistic about 2018 because a lot of the launches we didn't file this fiscal year will be launched next year. We know we're getting more approvals from the agency, that's a sure thing. We know we have this export opportunity with the Chinese. These are things we didn't have in this fiscal year. There's no way all those things wouldn't end up realizing an offset to the pricing environment. As far as the pricing environment is concerned, there's been a lot of pricing pressure that, quite frankly, we haven't experience as much of it as some of our competitors. But we're a small company. When you drop your prices on an item, the impact is far greater. When you don't get to launch products because you're in the middle of synergies, it just exacerbates that problem. But we believe July 1 of 2017, our fiscal 2018, will probably be a better year and won't be as impacted by pricing as we are this quarter.
Scott Robert Henry: Okay. Fair enough. And then a question on the $4.5 million reduction you took from the Medicaid inflation rebate. On a calendar year, does that impact any quarters more than others, the end of the year, beginning of the year, or is that a pretty consistent reduction you would expect?
Martin P. Galvan: I think we think, Scott, it'd be fairly consistent. It will ebb and flow with sales. And our projection right now has our fiscal fourth quarter to be slightly lower than the third quarter. But, no, it's not going to change dramatically. It would ebb and flow with our sales numbers.
Scott Robert Henry: Okay. And then the final question on levothyroxine. It didn't appear to have a significant impact versus my expectations at least on the revenue side of the equation. It seems like revenues were hurt more by a lot of the smaller products. And the question is how are levo gross margins in your Q3 relative to Q2? Or have the margins had a bigger impact in the total revenues? I'm just trying to get a sense on that specific product.
Martin P. Galvan: Yeah. We had some pricing pressure on levo in the quarter.
Arthur P. Bedrosian, J.D.: If you remember, when we gave that pricing to that large customer, as they turned more business over to us from our competitors, we sold more units but at a lower price.
Scott Robert Henry: Okay. All right. Great. Well, thank you for taking the questions.
Arthur P. Bedrosian, J.D.: Okay. Thanks.
Martin P. Galvan: Thank you, Scott.
Operator: Thank you. And we have another question from Gary Nachman.
Gary Nachman: Hi. Just a couple of quick follow-ups. Any update on the DOJ investigation? Any recent conversations there? And aside from the deal with HEC, what else can you do to try and expand your presence ex-U.S. to try and help improve the diversification of the company? Thanks.
Arthur P. Bedrosian, J.D.: Well, the DOJ, well, it's been 15 months now. We haven't heard anything from them. Our outside counsel hasn't heard anything. So we're of the opinion this has moved on to other companies and there's no longer anything going on with Lannett. We've been saying that for some time now. Nothing's changed there. As far as the other option, yes, we had opportunities to export some APIs from our Cody facility. We've been in discussions with regards to that, and certainly some controlled drug as well. So we see next year having probably our first next foreign order with any luck and then the expansion of that export, because the countries we're talking to and the people we're talking about, these will be significant volumes in terms of the products themselves based on the market, so. But I don't have a number in front of me. We're still working on how long it takes to get these products launched. We do know there's an expedited review process, one that's an already FDA approved product in the U.S. So it doesn't go through their normal channels. So I'm still trying to understand what that means. Is that 6 months, 9 months, or 10 months? So I'll have a little more information that they're getting back to me within the next few days, so I could answer that, but there's no question we'll be doing a lot more exporting next year than we've ever done before. The longer-term ones, with regards to our C-Topical, that requires filings in Europe. We are moving forward with those filings. But those take at least, I'm going to say, a year to be approved and probably at least another six months or more to file. So what we're doing is really planting seeds in the European market for our products, especially the C-Topical for now. The other two products we're waiting for FDA approval on here in the U.S. before we can offer them there. So there's two products still waiting for FDA approval on that we're planning to export. So we've been doing a lot of partnering. We now have people that want the products, are willing to launch them in the European market, and the same of course in the Chinese market. As far as raw materials are concerned, we have opportunities to do something with the raw materials we produced at Cody as well, and those are in the talking stages right now. But I have a pretty good optimistic point of view that we will have done some exporting next year for sure.
Gary Nachman: Yeah. Can you just clarify on HEC how many products you're expecting them to launch in China, and order of magnitude, how much that could contribute to your top line, bottom line?
Arthur P. Bedrosian, J.D.: Well, because we don't know what all 20 products are. We know 2 of them. They do want to buy 20 products, that's what they've committed to, 2 of them we've quoted on already. We're getting the details as to what they need in the way of – we're shipping it to them in bulk, we know that. We know we have to get some pricing that includes shipments and freight to their destination. They'll do the packaging locally. The rest of the products we're just reviewing with them to see which one of our products they want and probably means another trip there to finalize the products themselves. But I don't really have any numbers to give you because we don't have them for ourselves either. Once we identify the 20 products, they'll give me some estimate as to what size orders they'll place initially, and then we'll have a fairly good idea. But we are talking about a very, very big market. China, as you can imagine, is three times the size in terms of the population. And I'm not saying we're going to sell to everybody in China obviously, but if you sold to 20% of China, you have a huge amount of business coming your way. And these are products that are not currently available in China. So they'll be new introductions and they really feel very comfortable about products that they're talking to us about. I'm not allowed to say all of them, but they have identified categories that they're interested in. And out of respect for their competitive marketplace, I don't want to give out too many details. But it's an overwhelming opportunity for a company our size, that much I will say.
Gary Nachman: Okay. Thank you.
Arthur P. Bedrosian, J.D.: Thanks.
Operator: Thank you. And we have no further questions at this time. Now I'd like to turn the call back over to management.
Arthur P. Bedrosian, J.D.: Okay. Well, we look forward to sharing our progress on our next scheduled conference call in August. And we thank everyone for joining us today. Thank you very much, and have a good day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.